Operator: Good morning. My name is Maria, and I will be your conference operator today. Thank you for joining us for this conference call for OFG Bancorp. Our speakers are Jose Rafael Fernandez, President, Chief Executive Officer and Vice Chairman; Ganesh Kumar, Senior Executive Vice President and Chief Operating Officer; and Maritza Arizmendi, Executive Vice President and Chief Financial Officer. There is a presentation that accompanies today's remarks. It can be found on the Investor Relations website on the homepage in the What's New Box or on the webcast, presentations, and other files page. Please note this call may feature certain forward-looking statements about management's goals, plans and expectations, which are subject to various risks and uncertainties outlined in the risks factor section of OFG's Securities and Exchange Commission filings. Actual results may differ materially from those currently anticipated. We disclaim no obligation to update information disclosed in this call, as a result of developments, which occur afterwards. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. I'd now like to turn the call over to Mr. Fernandez.
Jose Rafael Fernandez: Good morning to all. Today, Ganesh and I will review the quarter’s results and Maritza will join us for the Q&A session. Please turn to slide three. Before the market opened today, we reported another solid quarterly performance. Net income available to shareholders of $13.6 million was $3 million higher in the first quarter. Earnings per share were $0.30 compared to $0.26. Highlights for the quarter included two transactions that derisked and delevered the balance sheet. We took advantage of an opportunity and sold a $38 million municipal loan. This resulted in a $4.3 million loss, but more importantly, it reduced our exposure to this sector by 27% after July principal payments are taken into consideration. We also unwound $100 million repurchase agreement, selling $166 million in related mortgage backed securities and generating a $6.9 million tax advantage gain. Credit quality remained stable, with a small decline in non-performing loan and the total delinquency rates. All key performance metrics improved versus the first - the prior quarter, with core net interest margin up 11 basis points, efficiency ratio up 34 basis points and return on average tangible common equity just over 8%, the highest level it's been in the last five quarters. Capital continued to build. Leverage ratio, tangible common equity were at the highest levels in the last five quarters. And our tangible book value per share of $15.51 was up almost 4% year over year. Please turn to slide four. Our results continue to reflect the strategies we have implemented on a consistent basis in the face of Puerto Rico’s fiscal and economic environment. First, the focus on building our unique retail franchise where we provide value added service and develop close relationship with our customers, this has resulted in higher customer satisfaction levels, a stronger brand and higher yields on retail loans, therefore expanding our NIM. Second, an effort to optimize interest and non-interest expenses has also enhanced net interest margin and profitability. For example, net interest margin this quarter benefited from the full quarter impact of a large repo we paid down in March. Third, ever cognizant of risk, we have maintained our credit and pricing discipline even in the face of vigorous competition. For example, this quarter’s deposits declined largely due to a decision not to retain the accounts of two high cost corporate and government clients. And fourth, the end result is that we have been able to steadily improved return on average assets, delivering a solid return on capital and strengthening our capital position. Please turn to slide five. During the second quarter, we continued to lead the way in deploying customer facing banking technology in Puerto Rico. We released a new and redesigned easier to employ version of our mobile banking app. We also finished deploying deposit taking capabilities in all 47 on premise ATMs. We're very encouraged with the adoption levels and customer feedback. This is part of our highly successful strategy of differentiating ourselves by delivering unparalleled customers experience. Our retail franchise continues to grow, increases in mortgage and consumer loan production, and with a solid origination levels in all the loans. The number of net retail clients continue to increase 5% year over year. This was accompanied by a stellar quarter in the commercial segment where our lending teams were successful in closing some key credits. Now, here is Ganesh to review the quarter in more detail, after which I will make some closing remarks.
Ganesh Kumar: Thank you Jose. Good morning to all of you. Let me start with the slide six. For this section I'll be pointing out just the quarter’s highlight as the slides are largely self-explanatory. New loan generation at $254 million was one of the highest levels in the last five quarters. We saw good increases in consumer and mortgage loan production. Commercial loan production also increased significantly to more than $80 million. This was due to new closings of small business and mid-market clients that we had been - that had been part of our pipeline. Auto loan volume was down after a very strong first quarter, largely due to seasonality. Deposits were in line with the last quarter, except for attrition of a high cost corporate and a government customer from the repricing efforts we had done earlier in the first quarter. Please turn to slide seven for our loan book transition and NIM evolution. In the second quarter, originated loan balances grew at more than 4% annualized rate to more than $3 billion. This portfolio is growing, with increases particularly in higher yielding retail loans, the effect of which is reflected in the increased yields. It's also important to point out that NII and NIM have significantly benefited from our active management of interest expenses. To illustrate, you'll notice that average total borrowings has dropped more than 40% year over year to $614 million from more than $1 billion a year ago. At the same time, average cost of borrowings has fallen close to 100 basis points. On slide eight, you can see our credit quality has remained steady over the past few quarters. The sale of one municipal loan was an opportunistic move on our part to reduce reliance on this sector. This loan was performing and was in good standing. The last on sale, as Jose pointed out, increased our net charge offs by 39 basis points. Please turn to slide nine to review our income statement. The trends are very much in line with the last few quarters, underlining our of-stated efforts towards achieving consistency. Jose had addressed a lot of this already, but let me focus on a few quarter specific items. Provision increased $8.9 million. This reflect the 4.9 - sorry, $4.3 million loss on the sale of the municipal loan, creation of a $6 million allowance for other loans to the municipality, and a $2.3 million recovery from a previously charged off auto and consumer loans. Other non-interest income reflects $6.9 million gain on the sale of mortgage backed securities, which was part of our - part of the deleveraging Jose had mentioned. Non-interest expenses also included $1.3 million from a contract termination in an effort to consolidate office space into our headquarters here in Hato Rey. Income tax declined $5.2 million quarter over quarter as a result of increased tax exempt income and various efforts. With this, we were able to reduce our forecast of our effective tax rate to be similar to 2016 rate of approximately 29% to 30%, as opposed to previously stated 38%. Consequently, the second quarter included a $2.1 million beneficial adjustment from a higher tax rate we had recorded in the first quarter. The next two slides show continued momentum we have experienced in strengthening OFG’s capital positions. Skipping over to slide 12, you can see the stability of our core performance over the last five quarters. The main point I want to highlight here is that we are consistently exploiting operating and financial levers to achieve the results discussed. With this, I conclude my portion of the presentation and turn the call back to Jose.
Jose Rafael Fernandez: Thank you, Ganesh. Please turn to slide 13 for our outlook. With regard to Puerto Rico, economic trends quarter over quarter are largely unchanged. There is a great deal of uncertainty regarding the economic impact from fiscal restructuring. The outcome is not clear yet as to PROMESA's Title III bankruptcy proceedings since they just started a few weeks back. If the speed of change and execution in the last 12 months since the enactment of PROMESA is any indication of the future, Puerto Rico has a long road ahead to recovery. Much more concerted and bold efforts are required from all stakeholders, including the private sector leadership to resolve the debt crisis and at the same time rebuild the economy. While hopeful, we continue to monitor local conditions closely. With regards to OFG, we promised consistent results and we delivered again. Our underlying businesses, credit metrics and capital position are all strong and solid. We're very pleased with our performance and how we're proactively managing our business. As you can see from this quarter and as Ganesh indicated, we're committed on delivering earnings over the next two quarters in the $0.25 to $0.27 range as we outlined at the beginning of this year. We believe we need to be highly prudent operating in Puerto Rico, rather than taking undue risk by chasing growth. So with this, we end our formal presentation. Operator, please open up the call to questions.
Operator: [Operator Instructions]. Our first question comes from the line of Alex Twerdahl of Sandler O'Neill.
Alex Twerdahl: Morning guys. First off, I was just hoping you can maybe give us a little bit more color into the rationale for selling off that municipality loan. It just seems a little bit inconsistent with previous commentary that that segment is separate from the central government that should be money good and that probably is relatively high yielding stuff. So maybe just talk a little bit about sort of what drove that decision today and whether or not the other loans, the other 130 some odd million loans are going to be sold in subsequent quarters.
Jose Rafael Fernandez: So Alex, we’re just being opportunistic. We feel that - as I said on the prepared remarks, Puerto Rico's situation continues to be uncertain and we had an opportunity to sell one loan and we felt that it was the prudent thing to do given the environment we operate in. we continue to feel that the portfolio of municipal loans that we hold is a solid portfolio. We don't have any intentions to sell and we feel that again the environment is uncertain and we need to be cautious. And that's also why we also took an additional provision for that portfolio. But it’s a solid portfolio that we don't have any concerns at this point in time.
Alex Twerdahl: Okay. What was the yield on that loan, the one that you sold?
Jose Rafael Fernandez: I don't recall.
Alex Twerdahl: Okay. Do you recall what the risk weighting was of it?
Jose Rafael Fernandez: It's 100%.
Ganesh Kumar: 100%.
Maritza Arizmendi: 100%.
Jose Rafael Fernandez: It’s a commercial loan.
Alex Twerdahl: And then what - because you sold it at about 11% of the discount and then you marked the other ones down significantly less than that, or I think you marked it down and took our reserves significantly less. Was there other reserve already allocated to those loans or is it just - is this discount on the one that was sold just reflective of what it would take to sell it today?
Jose Rafael Fernandez: So the answer to that question, you need to wait for the 10-Q because it’s - first of all, some of the loans are purchased. Some of the loans are originated and in general, it’s a general provision that we did for that portfolio on the originated portfolio. So you'll get more details on the 10-Q.
Alex Twerdahl: Okay. And then just to switch gears a little bit towards the margin. When in the quarter did you do that restructuring, sell off the $100 million of - or repay the $100 million of borrowings and sell off the securities? Just so we can try to get a sense for whether or not it’s fully incorporated already in the runway - run rate for the margin going forward.
Maritza Arizmendi: That was at the beginning of June. Okay. All right, I'll get back in the queue. Thanks.
Operator: [Operator Instructions]. Our next question comes from the line of Brett Rabatin of Piper Jaffray.
Brett Rabatin: Good morning guys. Wanted to I guess first just talk about the guidance. You talked about the tax rate for the full year of 29% to 30% and kind of still expecting $0.25 to $0.27. Quarterly, I guess I'm curious to hear what aspect of the income statement changes because it would seem like you’d be a little higher than $0.27 with that lower tax rate, unless you're going to have mortgage banking income atrophy or the margin is actually going to reverse. Can you talk maybe a little bit more about the trends in 3Q that you're expecting to have change?
Ganesh Kumar: Brett, I think more than going into the income statement, the reason why we are maintaining the same levels of performance is primarily to give us the flexibility to operate in this economy where it is uncertain. So rather than telling you any income statement line item would change, it gives us the flexibility to take appropriate risk on to the balance and grow the - or grow or maintain the originated loan portfolio. So that’s where we are trying to - when we alluded to the operating levers operating in this market, that's what we mean by that.
Brett Rabatin: Okay. And then just thinking about the past two trends, they were pretty benign but there was a pickup in auto are you seeing anything specifically in the auto segment? And just curious on your - you’d mentioned austerities. Difficult to see if that's going to have a material impact yet, but what you're seeing generally from business comfort with what's going on.
Jose Rafael Fernandez: None very - none that stands out. You could see that from our early delinquency trends and things like that in the past. It’s what we are seeing. It’s a gradual decrease over the last few quarters.
Brett Rabatin: Okay. Great. Thanks for the color.
Operator: [Operator Instructions]. Our next question comes from the line of Joe Gladue of Merion Capital Group.
Joe Gladue: Good morning. I’d just ask if you could just give us a little color on just trends in the auto market sort of island wide, where sales trends and competitive pressures.
Jose Rafael Fernandez: Yes. So on the auto market, Joe, what we're seeing is relatively flat new sales, slightly higher than last year, but nothing to write home about. Used car sales are also a little higher, but again nothing too significant. We continue to focus on our market, which is the medium kind of - medium kind of price level autos. And we do have a pretty solid production going on with our - with the dealers that we have and also doing some retail credit at other dealers. So from a competitive perspective, we feel that we are operating in a segment of the market that we cover very well, and we're happy with that. So we're not seeing yet any repercussions from the uncertainty that we operate in on the consumer side, at least on the auto market.
Joe Gladue: Okay. And on the commercial side, I just want to make sure I understood your comments correctly. You brought in some - I guess a good bit of originations. Yes. I take it that’s probably depleted the pipeline a little bit. We shouldn't expect similar levels of originations necessarily.
Jose Rafael Fernandez: Yes. So from the commercial market, I agree with exactly what you just said, Joe. We do have still some pipeline. We don't want to overstate the fact that the commercial lending business here in Puerto Rico is very competitive. It’s - also we're starting to see a little bit of stronger companies buying or trying to buy weaker companies, and we're also seeing some financing or manufacturing, small manufacturing companies are kind of unplugging themselves from the electric power authority and we do the financing for that. And so we've done some of those things. But moving forward, we have a, I would say an average pipeline on the commercial side and I think it's starting to be a little bit of a reflection on the austerity measures that are going to start to come to play here in Puerto Rico.
Joe Gladue: Okay. All right and last question I guess. The office consolidation that you took a charge for, is there going to be some noticeable cost savings going forward from that?
Ganesh Kumar: We expect that, but I think it's baked into the next year, primarily because what we are doing is we are paying ahead the contract at this moment in time and it will take a few months for us to consolidate the office space.
Joe Gladue: Okay. All right, thank you. That’s it for me.
Operator: [Operator Instructions]. Our next question comes from the line of Glen Manna of KBW.
Glen Manna: Good morning guys. I just wanted to ask a question on credit. If I look at the net charge off ratio of 179, if you normalize for the 44.3 million and then the auto price, you get down to an NCO run rate of like 140 basis points, which is kind of in line with last quarter. So is that kind of still what you're seeing? Is credit kind of holding in there flat?
Ganesh Kumar: Yes.
Jose Rafael Fernandez: Yes.
Ganesh Kumar: I think we also, if you look at the total portfolio as a whole, not just the originated portfolio, which is a bigger portfolio and we’re seeing stable credit trends.
Glen Manna: Okay. And in the BBVA portfolio, it looks like there was a transfer to non-accretable difference on the commercial side. Is that specific to that portfolio or is there anything going on there?
Maritza Arizmendi: It’s specific to the commercial portfolio that we have an extension of the (indiscernible) cash flow and that reflects that adjustment.
Glen Manna: Okay. And on the mortgage side, it looked like there was a transfer out and we've heard some anecdotal evidence of some interested buyers maybe all filing, coming out and buying mortgages. What are you seeing in the mortgage market there?
Jose Rafael Fernandez: There are interested buyers but the question is what price? I do not think there are acceptable exit points at this point in time unless one is faced with other pressures.
Glen Manna: Okay, thanks. That’s all I had. Have a good day now.
Operator: [Operator Instructions]. At this time, there are no further questions. I will now turn the floor back over to Mr. Fernandez for any closing remarks.
Jose Rafael Fernandez: Thank you, operator and thank you to everyone for listening in today. Looking ahead, will be on August 1 at the KBW Community Bank Conference in New York City, and we're preliminarily scheduling our third conference call - third quarter conference call for Friday October 20. Until then, thank you again and have a great day. Have a good weekend.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.